Operator: Greetings, and welcome to the Caesarstone Second Quarter 2024 Earnings Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference call is being recorded. It is now my pleasure to introduce your host Mr. Brad Cray of ICR. Please go ahead sir.
Brad Cray: Thank you, operator, and good morning to everyone on the line. I am joined by Yos Shiran, Caesarstone's Chief Executive Officer, and Nahum Trost, Caesarstone's Chief Financial Officer. Certain statements in today's conference call and responses to various questions may constitute forward-looking statements. We caution you that such statements reflect only the company's current expectations and that actual events or results may differ materially. For more information, please refer to the risk factors contained in the company's most recent annual report on Form 20-F and subsequent filings with the SEC. In addition, on this call, the company will make reference to certain non-GAAP financial measures, including adjusted net income/loss, adjusted net loss/income per share, adjusted gross profit, adjusted EBITDA and constant currency. The reconciliation of these non-GAAP measures to the most directly comparable GAAP measures can be found in the company's second quarter 2024 earnings release, which is posted on the company's Investor Relations website. On today's call, Yos will discuss our business activity and Nahum will then cover additional details regarding financial results before we open the call for questions. Thank you. And I would now like to turn the call over to Yos. Please go ahead.
Yos Shiran: Thank you, Brad. Good day everyone and thank you for joining us to discuss our second quarter 2024 results. Our second quarter performance demonstrates the ongoing positive impact of our strategic restructuring initiatives. The improvement in our gross margin compared to last year is clear indicator that our efforts to optimize our production footprint and enhance our relationships with manufacturing partners are bearing fruit and assisting us in overcoming slow market conditions across the globe. Current conditions are negatively affecting our revenues in the territories in which we operate primarily in the residential channel. Nevertheless, we continue to make progress on several key strategic initiatives. First, we are driving cost efficiencies across our operations. The closure of our Sdot-Yam and Richmond-Hill facilities remain on track to deliver annual cost savings of approximately $20 million in 2024 and $30 million annually by next year, compared to 2023 savings in line with our previous expectations. Additionally, we are now sourcing over 60% of our production from our global network of manufacturing partners, driving margin improvements and allowing us to better align production to demand. Second, we continue to focus on sales and marketing, mainly on developing differentiated products to improve our sales mix and help mitigate pricing pressures. Third, we continue to strengthen our porcelain business. During July, we increased our stake in our Indian porcelain facility, Lioli Ceramica, from 60% to 81%. This move underscores our commitment to strengthening our position in the porcelain market, which we see as a key growth driver for our business. Fourth, we are investing in our Indian innovation. We've already developed and launched number of new zero crystalline silica product lines. We expect to more than double our zero crystalline silica offering in Australia by the end of 2024. This is particularly important as we adapt to the regulatory ban on quartz products that went into effect as of July 1st in the Australian market. Lastly, we continue to explore ways to maximize value for our non-operational assets. We recently entered into an agreement to sell 69 acres of undeveloped land at our Richmond Hill property for approximately $10 million. We expect this transaction to close by the end of Q3 2024. We continue to evaluate opportunities to monetize the remainder of the property, which consists of 51 acres of higher value developed land and buildings. We are also finalizing the subletting of available areas within the Sdot Yam manufacturing facility. This will enable us to generate additional cash flows during 2025. In conclusion, despite the persistent macroeconomic challenges in the global market and the specific hurdles in the residential remodeling and renovation sectors to which our business is particularly exposed, we are making significant progress in transforming our business. Through the remainder of the year, we will focus on further reducing costs to align our expenses to the current business environment, we will continue to make strategic investments and innovate to drive improved profitability and long-term growth as the market recovers. I will now turn the call over to Nahum to review our financial results in more detail.
Nahum Trost: Thank you, Yos, and good morning everyone. Looking at our second quarter results, global revenue for the second quarter was $119.4 million, down 16.9% year-over-year, or 16.3% on a constant currency basis. The decrease was primarily driven by lower volumes, which were impacted by global economic headwinds, particularly in residential renovation and remodeling channels across our main regions. This resulted in lower demand accompanied by competitive pressures. In the U.S., sales were down 13.8% to $59.8 million. This decline was mainly driven by softer residential end markets and less favorable product mix. However, we did see some bright spots in our commercial business and big box. Canada sales were down 15.9% on a constant currency basis, experiencing similar market dynamics as the U.S. Australia sales were off by approximately 20.8% on a constant currency basis, mainly reflecting slower market conditions and the transition of alternative materials that comply with new regulations in Australia. Our EMEA region saw a decline of 14.9% on a constant currency basis due to slow market conditions in the UK, Sweden and our indirect EMEA business. In Israel, sales were off by 38.9% on a constant currency basis in the second quarter, mainly as a result of the war on Tehran, which has significantly reduced activity in the region. Looking at our second quarter P&L performance, gross margin in the second quarter improved significantly to 22.9% compared to 8.3% in the prior year quarter. Adjusted gross margin was 23.8% compared to 9.6% in the prior year quarter. The increase in gross margin was primarily driven by the benefits of improved production footprint, partially offset by unfavorable product mix. It's worth noting that the gross margin in the second quarter of 2023 included number of transitory factors that were mainly associated with Sdot Yam facility closure, lower utilization in our Richmond Hill plant and operational investments related to the Australian market. On a normalized basis taken into account those transitory factors, our gross margin increased by nearly 800 basis points, mainly due to enhanced efficiency of our production footprint a result of our previous restructuring efforts. Operating expenses in the second quarter were $36.6 million, or 30.6% of revenue compared to $58.8 million, or 40.9% of revenue in the prior year quarter. The lower percentage is mainly due to the reduction in impairment and restructuring related expenses recorded during the second quarter of 2023 in connection with the Sdot Yam facility closure. Excluding legal settlements, loss contingencies and restructuring expenses, operating expenses were 28.2% of revenue compared to 24.3% in the prior year quarter. In absolute dollars, these expenses were lower by $1.3 million compared to last year, but were higher as a percentage due to lower revenues. Operating loss in the second quarter was $9.3 million compared to $46.9 million in the prior year quarter, with the improvement mainly due to the higher gross margin this quarter and the impairment and restructuring related expenses recorded during the second quarter of 2023 in connection with the Sdot Yam facility closure. Adjusted EBITDA in the second quarter was a loss of $0.1 million compared to a loss of $13.4 million in the prior year quarter. This improvement primarily reflects the progress we've made in our restructuring efforts and cost optimization initiatives. Turning to our balance sheet, we ended the quarter with a strong liquidity position. We generated positive cash flow from operations of $10 million in the quarter, mainly driven by inventory reductions and other working capital improvements. As of June 30, 2024, cash, cash equivalents and short-term bank deposits totaled to $103.6 million, with a total debt to financial institutions of $5.9 million. Our net cash position as of June 30, 2024 was $97.7 million compared to $83.5 million as of December 31, 2023. Now, I'd like to provide some additional color on few items. Regarding the closure of our Richmond Hill plant, we continue to expect this closure to contribute the EBITDA improvement in 2024 compared to 2023, mainly benefiting the second half of the year as the majority of inventories from that plant were sold already. As offset to that benefit, we are affected by two geopolitical developments that impact our input costs. First, we are seeing an impact from increased sea freight fees, which we estimate will add roughly $3 million to $4 million per quarter. This will impact our P&L more towards Q4 of this year as the more expensive inventory is sold. Second, earlier this year, Turkey imposed restrictions on the export of certain materials to Israel. These trade restrictions have increased our Bar Lev plant production cost in the short-term, specifically for quartz and polyester. While we have successfully acquired alternative sources for imports, the economic terms are less favorable. We expect the higher material cost and sea freight expenses will negatively impact our operations and results as I will expand upon momentarily in our financial outlook. Lastly, I would like to provide an update on the silicosis related claims we are facing in the U.S. As of June 30, 2024, we are named as co-defendants among other manufacturers, distributors and fabricators in 43 individual lawsuits filed by fabricators or their employees. Plaintiffs allege they contracted illnesses, including silicosis, during the cutting and polishing of our products. The first case is currently in trial, with a verdict expected in the coming days. Though we believe in our defense, it is difficult to predict the outcome of this case. While we believe an adverse verdict is only reasonably possible, such a verdict on its own would not have a material adverse impact on our financial position or results of operation. The remaining 42 outstanding claims are at an early stage. While we plan to vigorously defend all these claims, we are unable to provide an estimate of their potential exposure, if any, at this time. With all this in mind, we are reaffirming our expectation to deliver a positive operating cash flow for the full year of 2024, with the majority of positive cash flow weighted towards the first half of the year. We also reiterate our expectation to realize restructuring related cost savings of approximately $20 million in full year of 2024 and $30 million thereafter compared to a full year of 2023. In the second half, we will face cost increases that I discussed earlier. Therefore, we are moderating our full year 2024 adjusted EBITDA outlook to be a loss in the mid-single-digit million-dollar range, mainly due to increased shipping and material costs expected in the second half of 2024. This outlook also assumes similar market conditions and demand in the second half of 2024 as compared to the first half. In conclusion, while we continue to navigate global market headwinds, we believe we are making significant progress in our strategic transformation. Our focus on cost efficiencies, optimizing our production footprint, and strategic investments in sales, marketing and R&D, position us well to drive improved profitability as market conditions stabilize. With that, we are now ready to open the call for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question will come from Reuben Garner with The Benchmark Company. Please go ahead. Thanks.
Reuben Garner: Thanks. Good afternoon, guys.
Yos Shiran: Good morning.
Reuben Garner: I guess let's start with the change in the guidance. Nahum, you mentioned shipping costs. Can you give us a little more detail there? Do you plan to take any additional pricing actions to help? And it's just, there's just a lag or is that not appropriate, are they kind of one time and you expect them to, I guess, retrace going into the next year?
Nahum Trost: Hi Reuben. So the increase in shipping cost we expected in the second half to impact the results to an area of as we mentioned, $3 million to $4 million per quarter. And in addition to that, we have also the negative impact from sourcing of raw materials. So those two items are going to impact our second half, second half of the year. On the other hand, there are additional savings that are coming from the previous restructuring actions that we took. Specifically, the more expensive inventory from Richmond Hill, which was sold almost in full by mid-year. So we expect to generate more saving and this will partially offset the higher expenses from the shipping and the raw materials that we've mentioned.
Yos Shiran: Yes. But also to add maybe that the shipping costs at this stage is very high and one could expect that at some stage it will go down in significant amount. We don't know exactly how much and when, but today it's above the normalized levels.
Reuben Garner: Okay. And then you mentioned the assumption for the second half is a similar demand environment to the first. Does that mean similar revenue dollar amounts in the second half compared to the first half? Or was that a year-over-year comparison comment?
Nahum Trost: No, the comment was compared to the market dynamics that we saw in the first and second quarter. So this is the assumption, also currently the assumption that we, that we are using for the second half.
Reuben Garner: Okay. And if things do deteriorate, and there have been some signs, at least here in the States that things may be softened over the course of the summer, if things do deteriorate globally, you've already undergone a restructuring. Do you have more that you could do to take out costs? Where does your utilization kind of rate stand today? And I guess what would those future actions look like if they were needed?
Yos Shiran: Yes, one of the biggest advantage of the new setup, which makes us more agile, is the ability to reduce cost. We have less fixed costs so we can better control the ongoing cost. And in addition if things turn out to be more positive than we expect, we can relatively ramp up the capacity quite fast without the necessity of deploying money. So yes, we are more agile and we can adjust.
Reuben Garner: So is there a way to think about what decremental margins would look like from here? If you see another, I don't know, 10% decline in volume, what kind of impact that has on profitability?
Nahum Trost: No, we are not providing information on sensitivity of the gross margin. But you can look at previous quarters and you can see on one hand the improvement in margins after the restructuring actions that we took compared to the level of revenues that we generated in those quarters. Just maybe to add up to that, the gross margin this quarter compared to the second quarter of last year was higher. Part of it relates to transitory factors that we had last year associated with the closure of the production here in Sdot Yam facility. So, if you exclude it, we were last year at the rate of around 15% of gross margin and this year, under the current volume, we generated almost 23% of gross margin. The majority of it relates to the restructuring actions that we took during the year. So you can – I believe it can help you to calculate the sensitivity.
Reuben Garner: Great, that's helpful. Thank you guys. Good luck going forward.
Yos Shiran: Thank you very much.
Nahum Trost: Thank you.
Operator: The next question will come from Stanley Elliott with Stifel. Please go ahead.
Andrew Maser: Hey, guys, this is Andrew Maser on for Stanley. Thank you for taking my question. I just had a quick one about the other portion of the Richmond Hill plot of land. Wondering if you had any best guess on what you could maybe receive for that portion of it.
Nahum Trost: So, as we mentioned also in previous calls, we believe it's in the area of several tens of millions of dollars. As we mentioned in the call, we sold the undeveloped part of our site for $10 million. This is the undeveloped, the other part is the developed, including the building. And all in all, we believe we will be able to get, as I said, several tens of millions of dollars.
Andrew Maser: Got you. And is there any update you can provide on the monetization of the Israel facility?
Nahum Trost: Yes, as Yos mentioned in his part so we basically established the majority of the available areas here in Sdot Yam plant. And we will start to benefit from it, not on the P&L side, but we will start to benefit from it from a cash flow point of view. Commencing 2025, it will be in the area of several millions of dollars compared to this year.
Andrew Maser: And then lastly, I was wondering if you could expand on your decision to increase your stake in the Lioli Ceramica business. Just any more details you could provide on timing or anything, really. Thanks.
Yos Shiran: So, porcelain is a very important part of our growth plans. And our plant in India is a good plant and we believe we can get a lot out of it. So far, we haven't seen a lot, but we believe with the initiatives that we are taking during this year, and also continue next year, we will start to see – we will start to see profits from this site and sales. So far, we see sales, but it's relatively low. And we had 60% of the venture. We decided to increase it to 81% and to buy one of the partners, which brings us, as I said, to 81%. So we are very happy with this move. It was tough negotiation. And once we see that our expectations are starting to mature, we will report more. So far, it's not so significant, but it's very significant, strategic wise. Yes, so this is what I can say about Lioli. If you have any more questions around it, I will be happy to answer.
Andrew Maser: I guess, from a margin standpoint, is there anything investors should think about as far as margin mix related to that increased stake and then the porcelain roll out over time? Thanks.
Yos Shiran: I don't think that – at this stage I don't think it will be material. So, yes, you will not see it – you will not see a lot of it in the P&L in the short term.
Andrew Maser: Got you. That's all from me. So thank you.
Nahum Trost: Thanks.
Yos Shiran: Thank you very much.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Yos Shiran for any closing remarks. Please go ahead, sir.
Yos Shiran: So, thank you everybody for your attention this morning. And we look forward to updating you on our progress next quarter. Goodbye.
Nahum Trost: Thank you.
Operator: [Indiscernible] Thank you for attending today's presentation. You may now disconnect.